Operator: [Foreign Language] Welcome to Cascades Inc’s Conference Call for the First Quarter Results of 2015. At this time, all participants are in listen-only mode. Following today’s presentation, there will be a formal question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Riko Gaudreault, Director, Investor Relations and Business Strategy. Mr. Gaudreault, you may begin.
Riko Gaudreault: Thank you, Operator. Good morning, everyone. Welcome to our conference call for the 2015 first quarter results. Members of our management teams are joining me today and you will hear from Mario Plourde, our CEO and President; Allan Hogg, our CFO; Charles Marlow, COO of our Containerboard Group. Charles is filling in for Marc-Andre Dépin. Luc Langevin, President of our Specialty Products Group and Jean Jobin, President of our Tissue Papers Group. Mario will begin with his comments, followed by Allan and the group’s representatives. The review of our operation in Europe will also be covered by Mario, and our CEO will also be back for the conclusion following the question period. During this call, certain statements will discuss historical and forward-looking matters. Please note that the accuracy of these statements is subject to a number of risk factors. These factors, which are listed in our public filings, can have a material impact on our results. Also, these statements, as well as the investor presentation and press release, which are posted on our website, include data that are not measures of performance under IFRS. You should also note that the quarterly results of Reno De Medici were released April 29 and can be reviewed on Reno’s website. I would like to remind the media and Internet users that they can only listen to the call. If you have any questions, please feel free to call us after the session. Finally, for those who cannot attend the annual general meeting in Montreal today, please note that it will broadcasted live on the Internet at 11:00 AM. I will now turn the call over to Mario Plourde.
Mario Plourde: Thank you, Riko and good morning, everyone. We started 2015 with $85 million of EBITDA and $0.85 of EPS for the first quarter, excluding specific items. This is an important improvement on both sequential and year-over-year basis. When we look at our results, including specific items, the EPS loss was mainly caused by the impact of the translation of our U.S. denominated debt. On the cash flow front, cash flow from operations were lower due to the payment of interest, which will now be more significant during Q1 following our June 2014 refinancing. On a segmented basis, the containerboard group started the year with a strong performance. This performance is even more impressive when we compare to the same period last year. In Europe, we also show a significant sequential improvement in EBITDA as productivity and demand were better in Q1. The specialty product group’s results were stable compared to Q4, however, the 25% EBITDA year-over-year increase is worth mentioning. As expected, the tissue paper group continued to be challenged during the quarter and was impacted by start-up costs related to its two important projects in Oregon and North Carolina. The group also took additional downtime in Q1 for equipment maintenance, upgrade and inventory management. As for Greenpac, it contributed $0.03 during the quarter and continued to increase productivity with production averaging 1,260 tons per day. It also made significant inroads in terms of premium lightweight liner board production. On the fiber side, brown grade prices continue to be soft and shed another 9% on average during the first quarter. We do not foresee major changes in the short-term for OCC prices as market condition continued to be favorable. Price for recovered white grade has not increased too much, but we are now entering into low generation season with the end of the spring that may have an influence on pricing. For pulp, NBSK prices stabilized after losing $50 a ton since October, while NBHK prices have increased by $30 a ton since January. Looking at our KPIs, we are pleased to report that we continue to improve on all fronts for this period of the year. I will now let my colleagues give you more specific information starting with Allan and I will be back later to cover Europe and the outlook. Allan.
Allan Hogg: Thank you, Mario and good morning, everyone. Let me start by explaining the main variants of the quarter. Compared to last year, sales were up 5% at $910 million due to a favorable exchange rate and volume increases in our containerboard and tissue activity, which were offset in part by all over average selling prices in all segments except for containerboard. Sequentially, sales increased 4%, mainly due again to a favorable exchange rate. EBITDA for the first quarter is up 13%, $10 million compared to last year. The increase is due to higher volume, a favorable exchange rate and lower production costs due to better productivity. Energy costs remain flat, despite $5 million less of energy credits received in Europe in Q1 2014. This was offset by lower cost in consumption than last year when we faced harsh weather winter conditions in North America. First quarter results were also impacted by production downtime and startup costs in our tissue activities. Sequentially, our EBITDA is up 4% or $3 million. Higher overall energy costs and lower sales in production volume in tissue offset in part a strong performance of our containerboard segment, despite its usual slower season. Slide 13 and 14 illustrate the impact of specific items that affected our results during the quarter. The depreciation on the Canadian dollar led to a loss on our long-term debt for $45 million and for most of the unrealized loss on financial instruments for $13 million. We also recorded a $5 million loss in our shareholder results following the change in equity of Boralex following their recent transactions. You can also see the impact in our shareholder results of our [indiscernible] investments, which is mainly driven by the higher performance of Boralex and Greenpac. On page 15, our cash flow from operations amounted to $35 million in the quarter, including our interest payment of $44 million. Capital expenditures amounted to $36 million during the period. Despite the cash flow from operations and the proceeds under disposal of our North America Boxboard assets received in February, our net debt increased by $78 million during the quarter due to the lower Canadian dollar, which increased our debt by $82 million. In terms of financial ratios, with the effect of the currency, our net debt to EBITDA ratio increased at 4.8 times at the end of the quarter. To conclude this section, we are introducing for your information some key figures on a proportionate consolidated debt basis. These numbers include our share of our respective ownership in Greenpac [indiscernible] in our other joint ventures in the specialty products group. I thank you for your attention and I will ask Charles to discuss the results of our containerboard group.
Charles Marlow: Good morning, everyone. Thank you, Allan. During the first quarter of 2015 the containerboard group shipments reached 260,000 tons, representing a sequential decrease of 3%. The short fall in volume comes from both segments of activity. In the converting sector, shipments have sequentially decreased by 3%. This is in line with the performance of both the Canadian and the U.S. industry. In the manufacturing sector, external shipments of paper decreased by 4% as a sequence of increase in our integration rate. Accordingly, the first quarter operating rate remained relatively stable at 91% compared to 90% during the previous quarter. On the pricing front, average selling price increased by $52 per short ton, mainly as a result of the increase of $0.07 of the Canadian dollar against the U.S. counterpart. Indeed, the weaker Canadian dollar increased average selling price denominated in Canadian dollar by $56 per short ton. On the other hand, the reduction of forced dollar per short ton is a result of unfavorable product mix with each sub segment. With regards to profitability the containerboard group realized an EBITDA of $52 million in the first quarter of 2015. This performance represents an improvement of 80% compared to the previous quarter and 68% of the same quarter last year. Our first quarter EBITDA of $52 million represent a margin of 17% on sales compared to 15% in the first quarter of 2014. If we look at the margin of our manufacturing capability separately, it reached 27% for the quarter, an increase of 3% from the previous quarter. This solid performance was achieved despite a reduction of 9,000 short tons in shipments and higher energy costs as a consequence of cold winter conditions. Combined these two items negatively impacted our results by $7 million. On the other hand, raw material costs decreased following a reduction of $5 per short ton of OCC prices and a material costs decreased following the reduction of $5 per short ton of OCC prices and a favorable product mix between cycle fiber and external paper rolls bought from Greenpac. Together, these two events totally offset the previous negative impact by adding $7 million to profit. Finally, the remaining improvement of profitability is mainly defined by the weakening of the Canadian dollar. In regards of the outlook, the short-term outlook, we should continue to benefit from the stable economic environment in containerboard market, the [indiscernible] in the U.S. remains good and we should continue to benefit from the weakness of the Canadian dollar. In the coming quarters, we should also benefit from normal seasonal pickup despite the approximately nine days of lost time in our machine available at our Niagara Falls facility in April. Finally, a word on Greenpac mill. In the first quarter of 2015, Greenpac produced 113,000 short tons of liner board representing an improvement of 2% compared to the previous quarter. Subsequently, our share of the net earnings excluding specific items amounted to $3 million or $0.03 for EPS in our results. We continue to gradually increase the proportion of value added product from Greenpac as the market receptivity for lightweight grades continues to be good. We are pleased with the paper machine which produces as we were expected and since the end of the first quarter, we even produced a daily record of 1,785 tons on April 4. I thank you for your attention and I will now ask Mario to give you an overview of our Boxboard activities in Europe.
Mario Plourde: Thank you, Charles. During the first quarter, productivity of the modernized machine at the Santa Giustina mill in Italy improved, which along with the impact of seasonality contributed to the 13% increase in shipments. Actually most of the mill produced at capacity during the quarter. In terms of average selling price, they remained stable during the quarter due to the strengthening of the Canadian dollar against the euro. However, this shows as 2% sequential decline. As a result of higher shipments, sales increased 10% to reach $260 million. This contributed to a 21% sequential increase in EBITDA of our Boxboard Europe group during Q1. Improved efficiency at Santa Giustina and lower maintenance costs during the first quarter contributed positively. We also benefited from lower chemical product costs. When you compare these results to the same period last year, you need to remember that we receive energy credit totaling $5 million during the first quarter of 2014. Looking ahead, other inflow are expected to be good in the short-term as the market is decent and the backlog is still quite solid as we enter Q2. In April, Reno another major European producer announced price increase of €40 to €45 for recycled and virgin grades. That should be in play gradually and have a more meaningful impact on our result during the second semester. On the cost front, major unknowns are raw material costs and energy. We expect some saving on energy costs due to more favorable contract, but the price of fiber might increase. I will thank you and I’ll ask Luc to follow up with a review of the specialty product group.
Luc Langevin: Thank you, Mario. Sales for the specialty products group declined slightly to $135 million compared to $138 million at Q4, representing a 2% sequential decrease. The reduced average selling prices in our recovery business negatively impacted our average selling prices for this quarter. While foreign exchange positively impacted our top line, this was not sufficient to offset lower prices in recovery and unfavorable seasonality in the recovery in thin packaging businesses. We completed our quarter with an EBITDA of $10 million, in line with our Q4 results. The positive impact of exchange rate was offset by increased energy costs and higher administrative costs. It is important to note that these results represent a 25% increase from the same quarter last year, thank to improved volume, reduced costs and positive impact on favorable exchange rates. Looking more specifically at our four sub segments, our industrial packaging segment increased its EBITDA by $1 million sequentially. We increased our volume and benefit from a more favorable exchange rate. The EBITDA of our consumer product packaging segment also improved by $1 million. The impact of typically lower seasonal demand in the thin packaging business was more than offset by improved margins resulting from reduced raw material prices. As for our other activities, our EBITDA declined by $1 million sequentially. Lower volumes at our de-inking site and increased energy costs negatively impacted our result this quarter. Finally, the EBITDA of the recovery and recycling segment declined by $1 million from previous quarters. We experienced lower recycled paper generation during the period and our spread slightly deteriorated from unfavorable market conditions for recovered papers from a generator point of view. Looking forward, we anticipate profitability to improve in the near future in our industrial and consumer products packaging segment with seasonal volume pickup. Our energy costs will get back to the normal. Meanwhile, we will closely monitor the rising price and the Canadian dollar fluctuation as it may offset some of these benefits. Thank you for your attention and I will now ask Jean to present the results of the tissue paper group.
Jean Jobin: Thank you, Luc. Good morning, everyone. As expected, the first quarter was softer than the previous one. As you know, the first quarter is usually the softer quarter of the year in the away-from-home segment and 2015 was no different with a 10% sequential reduction. The cold season and the higher volume in Q4 due to year-end incentive program are the main explanation for the volume decrease in the away-from-home market in this quarter. The U.S. market was impacted by an 8% reduction compared to the previous quarter while Canadian market was impacted by 14%. For the retail segments, shipments were 2% lower sequentially, mainly related to the timing of promotional activities. As for parent roll shipment, volume increased by 7%. The increased productions from the new Oregon paper machine and an inventory management initiative were the two main drivers behind this unusual increase. As market conditions remain difficult, we want to make sure our new parent roll capacity can be gradually absorbed by the market. As a result, total sales for the first quarter of the year were slightly up by 1%. However, the increase is mainly due to the exchange rate impact. The 8% favorable variation of the exchange rate more than offset the seasonal reduction of converted product shipments. The average selling price was negatively impacted by a higher proportion of parent roll shipment. Our EBITDA amounted to $15 million compared to $21 million for the previous quarter. The erosion in sequential profitability was largely driven by lower shipments and sales. We took the opportunity to do most of our annual shutdown in Q1, which resulted in a higher production cost. On a more positive note, our two major projects in the U.S., that is our new Oregon paper machine and our new converting facility located in Wagram, North Carolina, are on track and we will gradually contribute positively to profitability over the next upcoming months. In April, we also announced the installation of a state-of-the-art towel line in [indiscernible] with total annual capacity of approximately 3.5 million cases of high quality paper towels for the retail and away-from-home market. For the near-term, we are expecting better results as we’re entering in the strong sales season for the jumbo roll for the away-from-home segments and we also expect better shipment in our U.S. retail division. Our manufacturing productivity is also on a positive trend and some fixed cost reduction initiatives are currently under progress and the benefit will be seen in the next upcoming months. Thank you. I will now turn back the call to the operator. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Hamir Patel with RBC.
Hamir Patel: Hey, good morning. I had a couple of questions. First one for Mario. This was one of your best quarters in containerboard, but also one of your worst in tissues. As you look out to Q2 and the remainder of the year, how sustainable do you think the containerboard margins are and what sort of recovery is reasonable on the tissue side?
Mario Plourde: What we can see in the market right now for containerboard we don’t see many changes from the first quarter. We are entering normally a very good season in Q1, Q2 are normally strong because of the activity – kind of make stronger. So I don’t expect any big change. I think that the containerboard should remain strong as it is today. With regards to the tissue side, the first quarter has always been difficult for the tissue because of the weather, because it’s a slow economic time of the year. And the second quarter is usually very strong, so I’m very confident that they will improve from the first quarter, although we still are in an environment where there excess capacity in the market. But all the [indiscernible] of the startup of the new machine are quite behind us, they’re progressing very well today. I’m very encouraged by what I see, so I feel that the second quarter will be stronger than the first one.
Hamir Patel: Thanks, that’s helpful. And just one for Allan. Can you quantify what the weather impact in the quarter would have been across the Company? And then would you expect to get all of that back in Q2?
Allan Hogg: There was not much this quarter compared to the last. It was much more significant, but this year here and there, but nothing to – we have not quantified this or compared to last year and so there’s significant to report.
Hamir Patel: Okay, thanks. That’s great. I will get back in the queue.
Operator: [Operator Instructions] Our next question comes from Keith Howlett from Desjardins Securities.
Keith Howlett: Yes, I was just trying to understand energy prices. On the Slide 18 you detail the natural gas and oil prices. I should try to understand why energy costs were a negative issue in the quarter.
Mario Plourde: Make sure we have the things.
Allan Hogg: It’s kind of the first quarter consumption due to weather conditions is always higher compared to Q4. So that’s why on a sequential basis it’s always higher in Q1.
Keith Howlett: So it’s sort of the amount of energy used, not the price.
Allan Hogg: It’s both. And the efficiency, prices, consumption, yes.
Keith Howlett: I see. And then just on the capacity utilization that you measure as 98% I think in the tissue division. Do you take out the denominator, any plant that’s down for maintenance or when the equipment…
Mario Plourde: No, we adjust when capacities increase permanently. We adjust the number, but if it’s temporary downtime, we don't adjust, no.
Keith Howlett: I see. So that 98% indicates that you were pretty well flat out in the first quarter?
Mario Plourde: Make sure that you understand our definition. We calculate it on total shipment. So sometimes there’s a bit of difference between shipment and actual production, but we always calculate it with shipments.
Keith Howlett: I see, I see. So that reflects the inventory de-stocking that you mentioned in [indiscernible].
Mario Plourde: [indiscernible] a play. A play of inventory.
Keith Howlett: I see. Thank you.
Operator: Our next question comes from Rob Longnecker from Jovetree.
Rob Longnecker: Hey, good morning, guys. Looks like things are starting to kind of kick along nicely here, there’s an improvement. I wonder what the expectations are for the cash flow coming out of that business.
Allan Hogg: Well, it really depends if the market condition remains like it is today. As you know, there was a price increase announced early in the year which will take probably six months before being implemented. And to what level we don’t know, so obviously for the cash flow you see in Europe will improve in Q2, obviously in Q3. The economic condition right now seems to be positive where there’s more activity right now in Europe. I don’t know how to quantify it today, but obviously it will be better than it was in the first quarter.
Rob Longnecker: And will that actually – I mean the level is already quite low at that business. Will that actually result in cash getting returned to you guys as shareholders?
Mario Plourde: That’s an option, but we’ll have to – there’s some maybe legal issues to be resolved in that entity in a public entity in Italy, but you’re right. That’s something going forward that might happen.
Rob Longnecker: What do you mean legal issues?
Mario Plourde: Technically to dividends and things like that within that public company. But you’re right, going forward, that’s possible of cash coming back here to our parent company in Canada.
Rob Longnecker: Okay, thank you.
Operator: Our next question comes from Hamir Patel with RBC.
Hamir Patel: Thanks. I just had a few follow-ups on the containerboard side. Could you maybe give us a sense of what proportion of Greenpac’s production in the quarter was the premium grade?
Allan Hogg: We have the – as you know, Greenpac is a lightweight mill so we can say 100% of what we produce goes towards lightweight. But we do have our XP grade, which is its specialty. And we did achieve about 30% of our overall shipment for the quarter.
Hamir Patel: Okay, thanks. That’s helpful. And just the final question I had was in earlier this week we saw one of your major containerboard peers announce a major acquisition in the distribution space. And from what I understand, that’s going to displace some tonnage that’s currently being sold by other producers. Do you expect much impact on your business?
Mario Plourde: We do most of our sales directly relationship with customers, so we don’t see any impact on the [indiscernible].
Hamir Patel: Okay, great. That’s all I have.
Operator: Our next question comes from Leon Aghazarian from National Bank Financial.
Leon Aghazarian: Hey, good morning. I just had one quick follow-up regarding Greenpac. I mean we see right now if I believe 113 production. Where should we see that in the coming quarters? And what’s your expectation for the balance of the year in terms of production? I mean is it ramping up the way you’d like it to? And where do you expect that to go for the year?
Mario Plourde: We are right now seeing the curve – the production curve as we predicted. So we should see about a 2% improvement in the next coming quarter from actually shipments.
Leon Aghazarian: Okay. Thank you. That’s it from me.
Operator: We have no further questions at this time. I will now turn the call over to Mr. Mario Plourde for our closing remarks. Mr. Plourde?
Mario Plourde: We are starting 2016 on a good footing and the improved results released today makes us feel confident that we will be able to continue to improve our financial result in 2016. Demand for most of our product remain good. Canadian dollar weakness provides tailwinds and we do not expect major volatility and recovered paper prices. On our packaging product sector, our North American group should continue to improve their performance as they enter a period of good seasonal market condition for the next two quarters. In Europe, price increases were announced for both virgin and recycle grade, but we do not expect a meaningful impact on our result during the second semester. Our tissue paper group will pursue a ramp-up of its two new sites in the U.S. The negative impact of these such startup is decreasing and these activities should positively contribute to the result, mostly toward the end of the year. And we expect an increased EBITDA level for the coming quarter and the positive contribution for Greenpac mill should also add to higher quarterly earnings per share in 2015. If exchange rate between Canada and the U.S. prevail, our leverage ratio should improve. We thank you for your support and we hope to meet you at our annual general meeting shareholder today. Have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.